Operator: Good day, and welcome to the SilverBow Resources Second Quarter 2022 Earnings Conference Call. Please note, today's conference call is being recorded. [Operator Instructions] Thank you. At this time, I turn the conference over to Jeff Magids, Director of Finance and Investor Relations at SilverBow Resources.
Jeff Magids: Thank you, Erica, and good morning, everyone. Thank you very much for joining us for our second quarter 2022 conference call. With me on the call today are Sean Woolverton, our CEO; Steve Adam, our COO; and Chris Abundis, our CFO. Yesterday afternoon, we posted a new corporate presentation to our website and will occasionally refer to it during this call. We encourage listeners to download the latest materials. Please note that we may make references to certain non-GAAP financial measures, which are reconciled to their closest GAAP measure in the earnings press release. Our discussion today may include forward-looking statements, which are subject to risks and uncertainties, many of which are beyond our control. These risks and uncertainties are described more fully in our documents on file with the SEC, which are also available on our website. With that, I will now turn the call over to Sean.
Sean Woolverton: Thank you, Jeff, and thank you, everyone, for joining our call this morning. It has been a dynamic first half of the year to say the least. While commodity prices have marked steadily higher in 2022, the degree of market volatility underscores the importance of remaining disciplined. Our accomplishments in the second quarter were critical to our strategy and mark an inflection point for our growth going forward. To briefly recap the quarter, we closed the SandPoint and Sundance transactions, marking the fourth and fifth acquisitions we have closed in the last 12 months. The largest of these was our Sundance transaction, which closed on June 30. In conjunction, our borrowing base was upsized approximately 50% to $775 million and we added a second rig to our drilling program which is dedicated to developing these oil weighted assets. We funded the cash portion of the purchase price through our credit facility and operating cash flows, while also ending the quarter with more liquidity than we had at the end of the first quarter. On Slide 11 of our presentation, we outlined SilverBow's strategic objectives, which are the road map for our business. First, we are targeting double-digit production growth, while living within cash flow. Second, we are focused on expanding our inventory through accretive acquisitions and organic leasing. Third, we want to lead our peers in capital efficiency and cost structure. And last, our fourth objective is to delever the balance sheet through debt reduction and greater cash flows. We expect to grow our production approximately 30% in both 2022 and 2023. Our second quarter production increased as we brought online production from new wells and contribution from the SandPoint assets. Upon closing Sundance, we added a rig to develop our recently acquired oil inventory. Taken together, the step-up in drilling activity and contribution from acquired production will drive meaningful growth going forward, with second half production approximately 35% higher than the first half of this year. Our second strategic objective is to expand our inventory, and we made significant progress on this front during the quarter. The SandPoint and Sundance acquisitions added approximately 200 net drilling locations to our portfolio, and we now have over 600 high-return locations across a balanced mix of both oil and gas. This supports more than a decade of drilling at our current 2-rig pace. Our third objective is to lead our peers in capital efficiency and cost structure. Our growth next year is underpinned by a reinvestment rate of approximately 60% and a free cash flow yield greater than 25%. Our efficiencies have offset some inflationary cost pressures, and we've been able to deliver on our planned CapEx targets. As Steve will further detail, we also expect to realize cost synergies as the team integrates the acquisitions into our low-cost platform. Our cash margins will continue to increase as a higher oil production mix captures higher realized pricing on an equivalent unit basis. Last, but not least, our fourth objective is to delever the balance sheet through debt reduction and greater cash flows. Year-to-date, we have announced approximately $425 million in acquisition value, while remaining on track to achieve a 1x leverage ratio by the end of this year. Our leverage ratio for the second quarter was reflective of cash timing of closing the transactions, but we expect to quickly reduce our debt balance using free cash flow. Our debt balance at the end of July was $613 million, a $31 million reduction since the end of June. Furthermore, our liquidity position at the end of July exceeded $300 million, providing SilverBow to dry powder it needs to continue to pursue accretive opportunities. Looking beyond this year, our preliminary 2023 outlook calls for roughly $700 million of EBITDA and $250 million of free cash flow. This represents a significant amount of cash generation above and beyond the requirements to fund our growth and delevering objectives. Combined with our growth plans over the next 18 months, we see a compelling valuation based upon EBITDA, leverage and cash flow yields. We continue to see the highest reinvestment opportunities through either the drill bit or accretive acquisitions. It will likely continue to be a combination of both given the pipeline of opportunities to further consolidate the Eagle Ford. With that, I will turn the call over to Steve to provide an operational update. Steve, please go ahead.
Steve Adam: Thank you, Sean. In the second quarter, we drilled 7 net wells and completed and brought online 15 net wells. This compares to just 1 well we brought online in the first quarter. And as Sean mentioned, our second quarter production should mark an inflection point in our go-forward growth profile. In our Webb County gas area, we completed and brought online an 8-well La Mesa pad. This is the largest pad SilverBow has developed to date. In the face of supply chain constraints and inflationary cost pressures, our team successfully achieved AFE costs by delivering pressure pumping utilization rates north of 80% and completing more than 11 stages with over 4.6 million pounds of sand pumped per day. Of the 8 wells, 2 were Austin Chalk, 3 were Upper Eagle Ford and 2 were Lower Eagle Ford. The 2 Austin Chalk wells on this pad are the best-performing Chalk wells we have drilled to date when normalized for lateral foot. They also represent our first spacing test at the Chalk formation as compared to the single well delineations we have brought online previously. This confirms our view of unlocking additional inventory in the Austin Chalk as we transition to full-scale development. As we show on Slide 16 of our presentation, our Austin Chalk wells pay back in less than a year and generate rates of return well above 100%. In our Central Oil area, we completed and brought online a 3-well pad. This pad had an IP30 of 2,200 BOE per day and a 90% liquids mix. In our Western Condensate area, we completed and brought online another 3-well pad with an IP30 of 3,800 BOE per day and a 60% liquids mix. Both of these pads are outperforming their respective type curves and achieved AFE costs. Additionally, we completed on DUC well from our SandPoint acquisition in May, which we brought online during the quarter. This well, as shown on Slide 14 of our presentation, is an exceptional gas well, which produced an IP30 of 12 MMcfe per day and highlights the asset's quality of the acquisition. Second quarter production averaged 238 MMcfe per day, which was in line with our production update from last month. This quarter's production included 50 days of contribution from the SandPoint assets, but no contributions from the Sundance assets, given the June 30 closing. In our current industry upcycle, cost inflation continues to move operating and capital expense is higher. [VSMA] costs are up approximately 25% year-over-year across all major basins. On the drilling side, the largest cost increases are coming from casing, day rates, fuel and cement. On the completion side, horsepower, chemicals, sand and diesel are seeing the most pressure. Furthermore, the labor market remains tight across the service sector, which typically results in service-related challenges. As noted on our last call, we observed this earlier in the year with the rig we activated in December. However, as the result of actions taken by our operations team in conjunction with our service providers, those efficiency losses have been corrected. We experienced similar efficiency challenges with the rig we added from Sundance. Now that we have taken control of operations, the rig is returning to the efficiency levels that are more in line with our expectations. By continuing to implement SilverBow's best practices, our operations team has achieved AFE targets and delivered costs in line with our business plan. We expect our 2-rig drilling pace and the full utilization of our frac crew to drive even greater cost synergies and improved cycle times going forward. The team is addressing cost inflation through enhanced procurement initiatives and preordering key materials. I would like to mention that even with the increase in our activity, the SilverBow team has maintained its safety standards. Year-to-date, we have achieved a total recordable incident rate of 0, which is a point of pride amongst the organization. To all of our employees, contractors and service partners, thank you for upholding this core pillar of SilverBow's culture. For the third quarter, we are guiding to production of 300 MMcfe per day at the midpoint, with natural gas representing 68% of our production mix compared to 78% for the second quarter. For full year 2022, we are guiding to production of 277 MMcfe per day at the midpoint. Our guidance implies a 25% production increase sequentially in the third quarter and a 35% increase in the second half of 2022. Our full year 2022 CapEx guidance is $300 million to $330 million. Note that our production and CapEx guidance is unchanged from our July update and represents our recent views on cost inflation and 2 rig schedule. Looking to 2023, our preliminary production forecast is 380 MMcfe per day, representing a 35% growth rate year-over-year. As Sean mentioned, we are forecasting roughly $700 million of EBITDA and $250 million of free cash flow next year. As always, SilverBow optimized its drilling schedule in real time to allocate capital to our highest-returning projects based on prevailing commodity prices, production timing and expected rates of return. As such, our preliminary 2023 guide is subject to change based on further optimizations we may make to maximize returns. And with that, I'll turn it over to Chris.
Chris Abundis: Thanks, Steve. In my comments this morning, I will highlight our second quarter financial results as well as our price realizations, hedging program, operating costs and capital structure. Second quarter oil and gas sales were $183 million, excluding derivatives, with natural gas representing 78% of production and 68% of sales. During the quarter, our realized oil price was 101% of NYMEX WTI, our realized gas price was 102% of NYMEX Henry Hub and our realized NGL price was 36% of NYMEX WTI. Notably, our realized gas price was $0.12 per Mcf higher than benchmark Henry Hub prices, highlighting SilverBow's competitive advantage operating in the Gulf Coast market. Our realized hedging loss on contracts for the quarter was approximately $66 million. Based on our hedge book as of July 29, for the remainder of '22, we have 165 MMcf per day of natural gas hedged, 8,200 barrels per day of oil hedged and 3,200 barrels per day of NGLs hedged. For 2023, we have approximately 160 MMcf per day of natural gas hedged, 7,300 barrels per day of oil hedged and 2,750 barrels per day of NGLs hedged. The hedging math are inclusive of both swaps and collars and include the assumption of the existing hedge books from our recent acquisitions. A detailed summary of our derivative contracts is contained in our presentation and 10-Q filing for the second quarter, which we expect to file later today. Turning to cost. Lease operating expenses were $0.47 per Mcfe. Transportation and processing costs were $0.31 per Mcfe. Production taxes were 5% of oil and gas sales. We anticipate our unit LOE cost to be elevated going forward due to higher cost liquids production, which now comprises a much larger portion of our production base, given the acquisitions we have closed over the past year. Cash G&A, which excludes stock-based compensation, was $4 million for the quarter. As we continue to add scale of the company, a function of both organic and acquisitive growth, we do not anticipate meaningful increases to G&A. Rather, we expect G&A on a per unit basis to decline compared to historical ranges. We consider our lean cost structure to be a differentiator, allowing SilverBow to sustain profitability during periods of volatile commodity prices. Adjusted EBITDA for the second quarter was $85 million. As reconciled in our earnings materials, we generated a slight free cash flow deficit for the quarter. This includes onetime bank fees of approximately $7 million associated with our recent borrowing base increase and credit facility extension. Excluding this fees, we would have been free cash flow positive in the second quarter, and we expect to generate free cash flow for the second half of 2022. Capital expenditures for the quarter on an accrual basis totaled approximately $74 million. This excludes acquisition and divestiture activity. Turning to our balance sheet. Total debt was $644 million. Higher adjusted EBITDA in the second quarter was offset by cash payments for the Sundance and SandPoint acquisitions, which totaled just over $270 million. We funded these cash payments using our credit facility and operating cash flow. As of June 30, we had $494 million outstanding under our credit facility, $6 million of letters of credit and $9 million of cash on hand, resulting in $284 million of liquidity. SilverBow, in accordance with our credit facility, includes contributions from closed acquisitions for the entirety of the LTM adjusted EBITDA period used for the leverage ratio calculation. On an LTM basis, for the period ending with the second quarter of 2022, the contributions from acquired properties totaled approximately $154 million, bringing our LTM adjusted EBITDA for covenant purposes to $453 million and our quarter-end leverage ratio to 1.42x. Even with the cash outlay for acquisitions driving the quarter-over-quarter increase to our total debt, our liquidity increased by $23 million. As Sean mentioned, our banker had unanimously approved the increase to our borrowing base from $525 million to $775 million, providing us with ample liquidity to continue executing our plan. We remain on track to achieve our target leverage ratio of 1x by year end. Our year-end leverage ratio will benefit from $86 million of pro forma EBITDA contributions from SandPoint and Sundance prior to their closing date. I would like to thank our full bank syndicate, which includes 3 new member banks since April for their support. We look forward to continuing to work together as opportunities come about. At the end of the second quarter, we were in full compliance with our financial covenants and had sufficient headroom. And with that, I will turn it over to Sean to wrap up our prepared remarks.
Sean Woolverton : Thanks, Chris. SilverBow continues to execute its strategy. Between organic growth and in-basin consolidation, the company is positioned for significant value creation going forward. We believe that the increased scale and cash flow potential will continue to garner a broader investor base. One of our key milestones was to reach $500 million in annual EBITDA. Given the aforementioned execution, we now have line of sight towards $700 million of EBITDA next year. As we find ways to increase cash flow and pay down debt, we continue to see the highest return on investment through the drill bit and accretive acquisitions. With production growth, debt reduction and conservative reinvestment rates, our liquidity position will expand over time, providing us the dry powder to stay opportunistic in further Eagle Ford consolidation. I want to thank all of our stakeholders for their continued support. We look forward to providing further updates on our next call. And with that, I will turn the call back to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Bertrand Donnes with Truist Securities.
Bertrand Donnes: From your prepared remarks, it sounds like you have plan to be pretty active in the M&A market, assuming the right price. So I'm just kind of wondering if the target of these transactions is the pro forma leverage? Or is it free cash flow per share? Or is it to add some future inventory? Just trying to get an idea of what the priority is.
Sean Woolverton : Yes. Thanks for the question. And you lay out targets quite well there. First and foremost, we look for industrial logic. Does it make sense with the existing asset base? Does it improve our capital efficiencies? So that's the first primary target. Next is inventory. Will it improve, enhance our inventory displace existing inventory or further expand it? After that, we look at -- is it accretive to the existing shares? So accretive cash flow is high on our list. And then maintaining a conservative balance sheet along the way. So as we've done in the past, we'll look for opportunities to buy assets at a discount to where we currently trade and look to fund it through probably a combination of cash and stock wherever it makes sense.
Bertrand Donnes: Okay. It sounds like you're looking to check all those boxes. And then just moving to the well results on the Austin Chalk wells, it looks like they were a bit shorter on the lateral side, but they came in at a lower cost than the 7,500-foot wells that you have in your type curve, but one of them at least was still outperforming even on a nominal basis. So is the takeaway from that, that you like the lower cost and you want to have that increased productivity? Or is it maybe take the design that drove these well results and apply them to the longer lateral at the same price?
Sean Woolverton: Yes. The 2 laterals here that were shorter, and this was part of the 8-well pad was driven by primarily the lease configuration that we had and not necessarily that we were exploring lower costs or different stimulation designs across the shorter lateral. So going forward, our average lateral length will revert back to that 7,500-foot lateral length and will range anywhere from probably a mile to 2-mile laterals depending upon the lease configuration. Nothing to read in there and that, hey, we were optimizing or changing our stimulation or drilling configuration.
Operator: Your next question comes from the line of Michael Furrow with Johnson Rice.
Michael Furrow: So just now as the Sundance and SandPoint acquisitions have closed and the integration seems to be going smoothly, do you guys expect that these areas are going to see more activity going forward?
Sean Woolverton: Just to make sure I understand the question, are we increasing our capital investment in those areas? Or are we seeing more acquisition activity?
Michael Furrow: Well, honestly, both, but the question was more on the capital investment activity going forward.
Sean Woolverton: Yes. No. I appreciate the question. Thanks for confirming it. Yes, at the close of the Sundance transaction, we added a second rig. And the way we're allocating capital as we move forward is capital allocation to one rig will be on the historical SilverBow assets that are primarily dry gas. The other rig will be dedicated for the most part to drilling oil weighted, liquids-weighted locations that have come through primarily through the Sundance and SandPoint transactions, but as well as transactions that we closed late last year. So we -- as one of the targets we have on these acquisitions is to add accretive inventory. So as we look at doing deals, take, we want to make sure it's either high-grading the inventory and/or we're drilling equivalent rate of return projects. So that's important for us to dedicate capital to these new acquisitions as efficiently and quickly as possible.
Michael Furrow: Great. That makes plenty of sense and very helpful. My next question is just a follow-up on the Chalk, kind of hit on it a little bit already. But it seems like you guys are having some pretty strong well results, specifically out of Webb County. So I was wondering if you could speak and provide a little detail on how these wells stack up to the rest of the portfolio?
Sean Woolverton: Yes, we've continued to delineate our acreage position and the position that we currently have. We have done that. As Steve mentioned, we've done our first spacing test with the 2 well pad that we brought online in the second quarter. So as we look at it, we're now prepared to move into a more development scenario, drilling them on the 1,250-foot spacing. From a returns perspective, they compete very favorably. And in fact, they fall to the top of the list of our portfolio. So as we move forward, we're planning to dedicate quite a bit of our capital allocation on the gas rig to Austin Chalk drilling.
Operator: [Operator Instructions] There are no further questions at this time. I'll turn the conference over to Sean Woolverton for any closing remarks.
Sean Woolverton: Thanks, Erica. I appreciate everyone joining us this morning, and we look forward to providing further updates on our next quarterly call. Thank you.
Operator: Thank you for participating. You may disconnect at this time.